C. Thomas Hyun: Hi, welcome to LG Display’s second quarter 2008 conference call. My name is Thomas Hyun and I am the Vice President of Investor Relations. On behalf of LG Display, I would like to welcome everyone to our global quarterly earnings conference call. I am joined by [Bryan Kim], Vice President of Market Intelligence Department; [Kevin Choi], Vice President of TV Marketing Department; [Davis Lee], Vice President of IT Marketing Department; [C.S. Chun], Vice President of Mobile Marketing Department; [G.S. Che], head of R&D Planning Department; and [C.H. Lee], Head of the IR Team. We have approximately one hour for this call. We will spend the first part of the call discussing the key issues for the quarter, which correspond to the slides available on our website. Afterwards, we will take your questions. Before we move into our discussion of the earnings results, please take a minute to read the disclaimer. Okay, we are reporting in consolidated Korean GAAP with an appendix to this presentation that includes our reconciled U.S. GAAP numbers. Before we review the financial performance in detail, I would like to offer some general observations and perspectives on our industry in the second quarter. In the second quarter, our area based shipment was affected by several factors. In China, LCD TV demand was influenced by the natural disasters. In the U.S., there was a downward [inaudible] shift from large to small and medium due to the economy slowdown. Also, some of our IT customers made inventory adjustments in June to manage their inventory levels. As a result of these factors, our shipment per square meter during the second quarter was lower than our guidance, representing a 3% increase. But despite the lower than expected shipment increase, we were able to meet our guided EBITDA margin during the second quarter, resulting in 38% through our ongoing cost reduction efforts and a favorable foreign exchange rate. During the second quarter, we were able to reduce our COGS per square meter in U.S. dollars by 5% sequentially, which exceeds our expectation. The cost reduction was mainly contributed from the productivity improvement through [inaudible] activities and a favorable foreign exchange rate. Going forward, we anticipate the market will improve in the second half of this year, reflecting seasonality. Especially we expect the China market will be covered in the second half. Since we have a strong presence in China, we anticipate the benefit from this expected market improvement. In order to better prepare ourselves for the future, we made an investment decision and have reorganized some of our business structure. Today, our board of directors have approved the gen 6 expansion plan and we will invest approximately KRW1.4 trillion in the fab. The mass production at this fab is expected to start from Q2 2009 and it will mainly produce IT panels. This new fab will help us maintain our leadership position in the IT market by being able to better meet our customer demands. Last month, we launched the new OLED business unit to carry out OLED business in a highly strategic and organized manner. Previously our OLED business was managed by the mobile business unit. We are committed to develop and strengthen our OLED business, one of the future growth engines of the company. Now to the financial details, and please turn to the next slide. Revenues in the second quarter was KRW4.2 trillion, up 4% from the first quarter of 2008, and up 26% compared to the same period last year. COGS per square meter in U.S. dollars decreased by 5% quarter on quarter, exceeding our guidance. Operating income in the second quarter was KRW889 billion, which was slightly higher than the operating income in the first quarter. EBITDA margin recorded 38%, which was in line with our guidance in spite of the lower than guided shipment. From the second quarter, we are using the simplified method to calculate the EBITDA by adding depreciation and amortization to operating income in order to improve the comparability of the figure with other companies in the industry. If we applied the previous EBITDA calculation method, our Q1 and Q2 EBITDA margin would be 40% and 38% respectively. Next slide, please. As of June 30, 2008, we reported approximately KRW3.8 trillion in cash in the second quarter. Our finished goods inventory turnover level for large panels was slightly under three weeks. TV inventory level was increased slightly over four weeks from four weeks in the first quarter, while IT inventory level was increased to about two weeks from one week in the first quarter. Our liabilities through equity ratio as of June 30th was 76%, up two percentage points from the first quarter. Our current ratio as of June 30th was 25%, which is a healthy level. Our debt as of June 30th was KRW4.3 trillion, which is a [KRW26 billion] increase from the end of the first quarter, mostly resulting from the increase of export bill discount. Our net debt to equity ratio as of June 30th was 5%, down seven percentage points compared to the end of the first quarter. Please turn to the next slide. Cash at the beginning of the quarter was approximately KRW3 trillion and cash flow from operations was KRW1.2 trillion. The cash flow from investing activities during the second quarter was a negative KRW606 billion. The change in cash excluding financing activities was a KRW633 billion, and cash at the end of the quarter was approximately KRW3.8 trillion, which is an increase of KRW847 billion from the beginning of the quarter. Next slide, please. Now I would like to explain in more detail about several specific performance metrics. Please turn to the next slide. During the second quarter, a shipment of the total display area increased by 3% and reached 3.3 million square meters, which was lower than our expectation. And shipment didn’t increase as much as we anticipated in the second quarter, mainly due to a slower than expected China market, downward panel size shift in the U.S., and IT customers inventory adjustment. ASP was in line with our guidance. On average, ASP per square meter of a net display area decreased 5% to $1,274. For the TV segment, average ASP per square meter in the second quarter fell 5% and for IT, it fell 4%. Please turn to the next slide. For the second quarter of 2008, the TV segment represented 43% of revenues, maintaining the largest portion of sales. This was followed by monitors at 26%, notebook at 26%, and other applications accounted for 5% of our revenues. Please turn to the next slide, please. During the second quarter, the total production capacity at LG Display increased by 8% and it was mainly contributed by the capacity expansion at P7. Please turn to the next slide. Now we turn to our outlook discussion. Please go to the next slide. I would like to present to you our outlook for the third quarter of 2008. We expect our total shipment to increase by a low 20s percentage; average ASP per square meter is expected to decrease by a low teens percentage. In the TV segment, we anticipate the shipment to increase by a low 30s percentage with an average ASP decrease of a high single digit percentage. In case of the IT segment, we expect shipments to increase by a low teens percentage with an average ASP decrease of a low teens percentage. We will continue to drive our cost reduction strategies and expect our COGS reduction per square meter to be a mid to to high single digit percentage in the third quarter. Since we made the decision to invest in the gen 6 extension, our CapEx for this year will be increased to KRW4.5 trillion, and CapEx will be mainly used for gen 8 and gen 6 extension. Let me conclude by saying that we will continue to focus on cost reduction activities, ongoing product innovation, enhancing customer relations, and maintaining technology leadership for sustainable growth in the future. Thank you and this ends our presentation for the second quarter of 2008 and we are glad to answer your questions now.
Operator: (Operator Instructions) The first question will be provided by J.H. Lee from Daiwa Securities.
J.H. Lee - Daiwa Securities: Yes, looking at the inventory amount, I see it has increased quite substantially from first quarter to second quarter and I was wondering what’s the finished goods amount of inventory for the IT panels and TV panels at the end of 2Q.
C. Thomas Hyun: Actually, [inaudible] -- we do not communicate the amount. We just communicate in the finished goods inventory DIO. We already communicated our inventory levels as the finished good base was increased [gradually], and as we said, TV inventory is slightly over four weeks. It was four weeks in the first quarter, so it slightly increased. And also IT earlier, it is about two weeks. It was at one week in the first quarter. So our inventory was increased [inaudible].
J.H. Lee - Daiwa Securities: Right, and what was your utilization rate in the 2Q?
C. Thomas Hyun: We almost operated in full capacity.
J.H. Lee - Daiwa Securities: I see. And if the inventory level rises further, do you plan to lower your utilization rate in the third quarter?
C. Thomas Hyun: We try to be flexible. We definitely have internal guidance for appropriate inventory level and inventory level is above our tolerance level. Definitely we will try to be flexible.
J.H. Lee - Daiwa Securities: Okay, great. Thank you very much.
Operator: The following question will be presented by Tony Tang from [Lossetts] Research.
Tony Tang - Lossetts Research: Good morning, guys. I just want to know what’s the [inaudible] last quarter?
C. Thomas Hyun: Can you repeat the question?
Tony Tang - Lossetts Research: What’s the defective rate, in other words? Like, take every glass you cut [eight pieces] and then how -- what’s the average successful rate cut? Do you have defections?
C. Thomas Hyun: Are you talking about the glass efficiency rate or yield?
Tony Tang - Lossetts Research: The yield.
C. Thomas Hyun: Yeah, the yield has been improved substantially. I mean, every year the yield has been improved. Do we --
Unidentified Participant:  We actually communicate with CCF, which is the [capacity conversion factors], which is around the mid-70s.
Tony Tang - Lossetts Research: Mid-70s -- is that overall mid-70s or by each fab? Do you -- which fab is running the highest yield rate right now?
Unidentified Participant:  No, no, it is just the average over the total fabs.
C. Thomas Hyun: So CCF has been again increased dramatically every quarter and the same quarter last year, it used to be around mid-60s. However, now as [Su] just communicated, it has been improved to low to mid 70% range.
Tony Tang - Lossetts Research: Mid 70% range, okay, great. [inaudible] APEC capacity calculation, right? So is that -- do you take into consideration any technical maintenance and scheduled shutdowns? And does that like say take your P7 fab that you have, 1,800 [inaudible] square meters like as the [inaudible]. Is that calculation based on a 24-hour shift, actually you have scheduled shutdown plans and then technical maintenance? I just wonder how you calculate capacity, basically.
C. Thomas Hyun: Can you hold on one second? We are just trying to digest your question.
Tony Tang - Lossetts Research: All right. Thank you.
C. Thomas Hyun: Tony, can I clarify your question? Your question is -- are you asking how to calculate CCF, which is the cash converted factor -- the capacity converted factor. Is that your question?
Tony Tang - Lossetts Research: No, my question is about your capacity, right? So your P7 -- hello, can you hear me?
C. Thomas Hyun: Yes.
Tony Tang - Lossetts Research: Okay, so your Gen 7 plant, do you have glass input of 1,742, so 1.8 million square meters glass input for the quarter, one quarter, the first quarter ’08, right? That number, is that based on a 24-hour three shifts a day calculation? Is that actually your continuous plant working or is that actually have -- I know every plant you have a technical maintenance, some scheduled shutdown for half a day --
C. Thomas Hyun: Yes, you are right. It is 24 hours a day and three shifts. Everything will be considered in the calculation; however, when equipment or somehow input is stopped for the maintenance or whatever, then that should be taken out of the calculation method.
Tony Tang - Lossetts Research: So based on what metrics you calculate that? Like your [capacity of those]? How much is the -- I don’t know how [time is that], right, so how much do you maintain the schedule over the year, over the quarters, over 12 months a year? Do you schedule like three days of maintenance shutdown, the whole plant shutdown? Is it actually six days or 12 days? Do you have any number like that?
C. Thomas Hyun: No, I mean, it is really depends on the situation. We don’t particularly stop the total production for many days for a certain period of time. I mean, it all depends on the situation.
Tony Tang - Lossetts Research: Okay, great. Thank you very much.
Operator: The following question will be presented by Mr. Andrew Abrams from Avian Securities.
Andrew Abrams - Avian Securities: Thank you.
C. Thomas Hyun: Hello? I think he got disconnected. Hello? Can you hear us? Hello?
Andrew Abrams - Avian Securities: Hello? Can you hear me?
C. Thomas Hyun: Yes, go ahead.
Andrew Abrams - Avian Securities: Okay, I have two questions; first, on the gen 6 increase in CapEx, I was assuming that you were running or you were expecting to run about 30,000 sheets on that fab. Is this increase in CapEx an additional 30,000 line or is this an increase in your cost expectations?
C. Thomas Hyun: The increase in CapEx is for the capacity increase, which is about -- when it is fully ramped up, we are expecting about 60K, and the increased capacity is for that.
Andrew Abrams - Avian Securities: Okay, and the 60K goal, will that be reached by the end of 2009 or is --
C. Thomas Hyun: That’s correct. That’s what we are planning to do.
Andrew Abrams - Avian Securities: Okay, excellent. Thank you. And gen 7 I assume is -- or the additional fab is already planning to be on schedule? You haven’t changed anything on your other fab schedules?
C. Thomas Hyun: You mean gen 8?
Andrew Abrams - Avian Securities: I’m sorry, gen 8, yes.
C. Thomas Hyun: Right. No, we have no different schedule at the moment.
Andrew Abrams - Avian Securities: And again, that’s kind of mid-year 2009, is that correct?
C. Thomas Hyun: We are just planning to kick in the production in the middle of Q1 next year. However, again the same as the gen 6, full ramp-up schedule is likely to be at the end of the year.
Andrew Abrams - Avian Securities: Right, okay. And that was a 60 also for the year-end?
C. Thomas Hyun: That’s for about 83K.
Andrew Abrams - Avian Securities: 83K, okay, got it. Thank you very much and one other question on the comments that you made in terms of the U.S. market moving from larger TVs to smaller TVs. How does that affect your business? I mean, you still are looking for pretty substantial volume increases on a square meter basis for third quarter. Does that change anything in your outlook? You know, more units but smaller units? How does that affect you guys from the panel side?
C. Thomas Hyun: Our outlook has already considered all the factors and in Q2, what we experiencing is about unit doesn’t have much of the changes, whereas because it’s a down shift from larger size to smaller and medium size, the area base has decreased. So we already considered that factor into our outlook for Q3.
Andrew Abrams - Avian Securities: So would that assume that you are expecting a fairly substantial increase on the IT side to make up some of that additional volume?
C. Thomas Hyun: Kevin, can you --
Kevin: No, our TV production is actually going up in the third quarter because even though our second quarter TV volume didn’t hit the target of the area, that most of the impact comes from the China market because the China market, you know that we are pretty strong in the China market and the China market in the second quarter, there was the earthquake, and also in late May and June time, there’s lots of rain in the southern part. So the China market was very slow in the second quarter. But we expect from the third quarter China market, there’s a [big fill] coming for October that’s one of the most big promotion day in October. And also next year, January is a new year, China’s lunar new year so normally from November, December, the orders are coming in. So the second half of this year, we expect the China market is much better than the second quarter. So we expect the third quarter, fourth quarter, TVs volume pick-up is pretty higher than compared to second quarter. That’s why we think that there’s no competitive shift to IT, from TV to IT.
Andrew Abrams - Avian Securities: Got it, thank you. And lastly on the OLED business, is the OLED business part of your CapEx or is that going to be separate dollars spent? How do you account for the OLED business and where do you think the spending is going to be there?
C. Thomas Hyun: At the moment, we don’t have any specific CapEx plan or investment plan for OLED. As you know, as I mentioned earlier that we just started the new OLED and they are going to do all the planning for the future. Definitely there is technology, R&D, and those things but at the moment, there’s no CapEx plan for the OLED business at the moment.
Andrew Abrams - Avian Securities: Thank you very much. I appreciate it.
Operator: The following question will be presented by Mr. Michael [Bon] from Aquarius Securities.
Michael Bon - Aquarius Securities: Thank you for taking my call. I have several questions. My first question is with your new CapEx guidance, what will your capacity growth or shipment growth be year-on-year in 2009?
C. Thomas Hyun: Okay, let me just look up the data. Capacity wise, in 2009 worldwide capacity will be around below 30% but our capacity increase will be over 30%. And also, our shipments in 2009 will be around below 30% worldwide. Our shipments will be around just over 25%.
Michael Bon - Aquarius Securities: In terms of inventory, what do you think your finished goods inventory level will be at the end of third quarter?
C. Thomas Hyun: As our CFO said, we will not increase our inventory level at the end of June, so we expect it will go down a little bit.
Michael Bon - Aquarius Securities: Also, looking on page 11 of your presentation, the others CapEx has increased to $0.8 trillion from $0.6 trillion in your presentation that you had in April. The difference there, is it for-ex or is it something else?
C. Thomas Hyun: Yes, we definitely have some for-ex effect because the Korean WON has been depreciated a bit in the second quarter. In relation to that, we have some capacity investment amount adjustment -- the investment [this year] was not changed but [a bit adjusted], so as you said, we -- one of the parts was the for-ex effect.
Michael Bon - Aquarius Securities: Okay. My final question is on your CapEx strategy; I’m having a real hard time understanding why you’ve decided to become much more aggressive. Can you give some more insight onto that?
Davis Lee:  This is Davis Lee of IT marketing. I can definitely cover the rationale for our P6 investment. The industry growth for the notebook is going to be very significant, over 20% next three or four years. While that kind of growth is continued, the industry capacity for the notebook is not going to be increased, so we have certain leadership in the notebook market. So if we do not invest in our gen 6 extension, we are going -- that kind of leadership position is at risk. So that is the first motivation. And the second one is the 15 by 9 initiative, which we are leading the industry for the standardization. So gen 6 line is the most flexible line in terms of notebook support and also coming 16 by 9 format monitor demands. And on top of that, LGD is one of the first companies in the industry who produce notebook panel out of gen 6 fab, so we want to keep that kind of initiatives and leadership in the industry. That is exactly why we decided to invest in the gen 6 extensions.
C. Thomas Hyun: Let me just add a couple of points, more points -- also monitor, for monitor, we were not able -- we have not been able to meet all the customers’ demands. So if a gen 6 expansion is mainly used by notebook PC, then we have a much more room to produce monitors and deliver what customers need. And the other point is that if we make a decision to invest now, as we discussed earlier the mass production is likely start in the first part of 2009, and there’s a ramp-up schedule, so ramp-up schedule -- when it is fully ramped up, it is going to be the end of the year, end of 2009. So at the moment, we definitely do a lot of forecasts in terms of the second half of the year and 2009, but going forward, the business goes on. So we definitely make a decision to invest for the future.
Michael Bon - Aquarius Securities: I guess it’s -- you know, I can understand your competitiveness on the notebook side, but you said that you weren’t able to fulfill some of your clients’ needs on the IT panels in 2Q but yet your inventory went up. Can you explain how that works?
Davis Lee:  Again, this is Davis. Let me comment on that portion. Usually if you look at the first quarter, the one-week level is really, really a tight inventory situation, barely meets the customers needs level. Now at the second quarter end, two weeks is a back-to-normal situation. We see some of the inventory, the issue in the industry but as we announced, explained during the presentation, some of the inventory will be, IT side inventory, will be cleared during June and July timeframe. That will help the industry inventory situation and bring the market back to a normal position. That is the way we understand it. And as Thomas explained, we have all internal guidance to keep our inventory level healthy.
Michael Bon - Aquarius Securities: Thank you.
Operator: The following question will be presented by Mr. Jeffrey [Toter] from ABN Amro.
Jeffrey Toter - ABN Amro: Good evening. I have a couple of questions. First on the CapEx number, it seems that all of your 6G CapEx is being put into 2008, so the increase or the cost of 6G is about $1.4 trillion and that’s in line with the increase. Does that mean that there’s a sharp drop in spending as we go into 2009? And also, does that indicate a very high level of spending in the second half of 2008?
C. Thomas Hyun: The amount of CapEx we communicated was KRW1.4 trillion, and some portion will be moved to 2009, so it is true; as you said, most part of the CapEx will be executed in this year, so that’s why we have increased our CapEx a lot compared to the previous communications.
Jeffrey Toter - ABN Amro: And have you changed -- I think in the local meeting, did you mention that you changed the way you are disclosing or giving guidance for CapEx on a delivery basis now instead of a cash-out basis?
C. Thomas Hyun: We actually guide the delivery base CapEx but when we communicated in the analyst meetings in mid-May, our CFO has communicated on a cash-out basis. So it was KRW3.6 trillion, so now it is KRW4.5 trillion but if we applied the cash-out basis, it will be around KRW3.8 trillion, so a little bit different but not too much.
Jeffrey Toter - ABN Amro: Okay, so it’s 3.8 trillion on a cash-out basis?
C. Thomas Hyun: Right.
Jeffrey Toter - ABN Amro: Okay, got it. Okay, we were talking earlier, I guess there were some questions about your capacity conversion factor. My numbers or my calculations actually showed that it was pretty low in 2Q at around 0.64 and it looks like your increase in shipments that you planned for this quarter is primarily driven by a sharp increase in the capacity conversion factor. Can you maybe elaborate on why that number was low in 2Q and why you expect that to increase in 3Q?
C. Thomas Hyun: What was the number you were quoting?
Jeffrey Toter - ABN Amro: 0.64.
C. Thomas Hyun: 64?
Jeffrey Toter - ABN Amro: Yeah, 64% or 0.64 times.
C. Thomas Hyun: I think we need to have a clarification in terms of how you came up with the 64%. Is it --
Jeffrey Toter - ABN Amro: I used shipments as a percent of input capacity.
C. Thomas Hyun: I’m not sure whether we are talking the same numbers. I think, Jeffrey, maybe can we -- because again, before we don’t know whether we are talking about apples-to-apples numbers. I think it is not really helping discussing that, so can we move on to the next question and definitely we can see each other again in the near future, so we’ll definitely clarify that.
Jeffrey Toter - ABN Amro: Okay, let’s move on to the next question then. First, your CapEx guidance for pricing is down I guess low teens for the quarter. Can you break that down between TV and IT panel?
Yeong Su Gwon:  Our TV will fall down high single digits and the IT side will be low teens percentage down.
Jeffrey Toter - ABN Amro: IT is low teens. If IT is low teens and TV is high single digits, doesn’t that give you low double-digits rather than low teens?
C. Thomas Hyun: No, it gives the low teens in total average. We’re talking average.
Jeffrey Toter - ABN Amro: Okay, so it has to be really low teens, like 13. Okay, fair enough. And then, I guess on the production side, if you look at your guidance for 3Q, and I understand that you have a big increase in your output, you have your inventories, which have gone up a little bit, you have prices that are already weakening -- normally this doesn’t sound like an environment where you would want to increase your output very substantially. You talked a little bit about China demand in October and in maybe January. Can you kind of bring that down maybe to what you see in third quarter and why you are so confident that you’ll be able to increase your output by over 20%?
C. Thomas Hyun: Kevin.
Kevin Choi: Yes, normally the TV market, the second half demand is much stronger than first half. And when we expect after we finished first quarter, we expected that some of the third quarter demand is coming in to second quarter, but actually it was not happening because of the China situation. So we think that the China market second half will be just a normal situation, so they didn’t pull in their purchasing in the second quarter. So their third quarter should be normal. So we think that from August, the demand will pick up and especially in the China market, the second half demand is normally much higher than first half, so that’s normal, not an exceptional case.
Jeffrey Toter - ABN Amro: Okay, and what percentage of your sales go into China?
Kevin Choi: Our percentage of sales in China is normally about mid-teens in the third quarter level.
Jeffrey Toter - ABN Amro: Mid-teens of total or mid-teens of TV?
Kevin Choi: Mid-teens of TV.
Jeffrey Toter - ABN Amro: Mid-teens of TV, okay. So it’s high single digits overall, roughly? Okay. I think that that covers most of my questions for right now. Just one final -- I guess there was guidance of EBITDA around 30% or -- can you just elaborate as to what you said in the local meeting today on your EBITDA guidance?
C. Thomas Hyun: It was a low 30s.
Jeffrey Toter - ABN Amro: Low 30s EBITDA?
C. Thomas Hyun: Right.
Jeffrey Toter - ABN Amro: Okay. Thank you very much.
Operator: The following question will be presented by C.J. [Muth] from Lehman Brothers.
C.J. Muth - Lehman Brothers: Good evening. Thank you for taking my question. A couple of quick questions here; I guess first off, and I apologize if you have already gone through this, could you tell us what your inventory days were for both TV and IT exiting Q2, and where you think that will be exiting Q3?
C. Thomas Hyun: Yes, our TV inventories, we already communicate with our finished goods, so it was slightly over four weeks in Q2. But we expect it will go down a bit or at the same level, below the same level.
C.J. Muth - Lehman Brothers: Do you have on the IT side?
C. Thomas Hyun: IT side? So it was about two weeks in Q2. So also, we expect some improved inventory in Q3.
C.J. Muth - Lehman Brothers: Okay. And then on your shipment guide of low 20s, what assumption are you making in terms of your utilization rate there? Are you assuming that you continue to run full out or are you tempered a bit?
C. Thomas Hyun: We assume this full utilization at the moment.
C.J. Muth - Lehman Brothers: Okay. And in terms of your, you know, the outlook again of the low 20 shipments, can you talk about the seasonal pattern that you expect there, considering the likely weakness that we are going to see on the IT side for at least another month? How you see that spread out over the next three months?
Davis Lee:  To answer your question, typically the IT side is -- first half is about 44% or 46% demand happens during the first half. Second half is about 54% or 56% demand level. As we already explained, June or July, there will be slightly -- industry will have a slight adjustment of the inventory but that kind of inventory clearance will be finished by the end of July. So we expect a hefty rebound of demand from the August onward until November. That is our projections. So combined with the TV side seasonality features is much bigger than IT side, and outside a typical 45% to 55% of the seasonal demand, we expect that our -- the output growth is about 20-plus percentage.
C.J. Muth - Lehman Brothers: That’s very helpful. Thank you. And last question here, on the TV size, can you comment about what trends you are seeing outside of the U.S., and then how concerned are you about where we are in the U.S. right now? And if you can provide any color on what the decline has been in terms of the average size, that would be very helpful. Thank you.
C. Thomas Hyun: Kevin.
Kevin Choi: The U.S. market, the large size, second quarter of large size, probably be a slowdown compared to first quarter, but still [33-inch] is kind of the size and 37-inch, that 37-inch is also a little bit slow but 32 is okay. So below 26 or so, second TV demand. Some houses have two TVs, three TVs, so the second TV demand is pretty strong. And we think that until next year, it will continue to be strong. So quantity wise, it’s okay but area wise, a little bit smaller than [inaudible]. So second half, we think that pricing is going down, set price is going down. So I think the big TVs demand in the second half will be picked up. So we think the second half is okay. That’s our view in the U.S. market. And outside of the U.S. market, the Europe market we think that also 46-, 47-inch kind of big screen TV is a little bit slower than expectation, but 32-inch and below size is pretty strong in Europe. So I think that the area wise, Europe is -- I think that compared to expectations, we think it’s okay. So the TV market as a whole, the China market is or was slow in the first half. We think the second half either comes back and another good thing for the TV market is emerging market. The emerging market situation is okay. BRIC market TV condition and growth ratio is very high. So we think that will also help in the second half. So we think second half TV market condition is okay.
C.J. Muth - Lehman Brothers: Great. Very helpful. Thank you.
Operator: The following question will be presented by Mr. Tony Tang from [Lossetts] Research
Tony Tang - Lossetts Research: I have one follow-up question; I’m just trying to get some ideas about the COGS per square meters --
C. Thomas Hyun: I’m sorry, we couldn’t hear your last statement. Can you repeat?
Tony Tang - Lossetts Research: The COGS per square meter base --
C. Thomas Hyun: Right. It’s mid to high single digit down.
Tony Tang - Lossetts Research: Sorry, can you say again?
C. Thomas Hyun: Mid to high single digit down.
Tony Tang - Lossetts Research: No, I want the second quarter numbers.
C. Thomas Hyun: Second quarter numbers -- it decreased by about 5%.
Tony Tang - Lossetts Research: Five percent -- okay, so am I right, like your current conversion factor is exactly around 32%?
C. Thomas Hyun: The CCF in the second half -- I mean, the second quarter, are you asking whether there was a 72%?
Tony Tang - Lossetts Research: Yeah, is that wrong? Because my calculation shows --
C. Thomas Hyun: No, I gave a range of the low 70% range, so that’s the number we have.
Tony Tang - Lossetts Research: Okay, so if you have the inventory increase of the quarter and then -- does that include transfer to almost 380 square meters of inventory. Is that correct?
C.H. Lee: How did you -- where did you get the number?
Tony Tang - Lossetts Research: Well, so I take the dollar amount, the change of the inventory and then convert that to U.S. dollar and then divide by the COGS based on a per square meter, and then roughly it’s around 380,000.
C.H. Lee: So at this point, we don’t have such a data in front of us, so I’m sorry, we cannot verify the number.
Tony Tang - Lossetts Research: Okay. All right, thanks a lot.
Operator: The following question will be presented by Len [Erick] from Goldman Sachs.
Len Erick - Goldman Sachs: Thanks for taking my question. My first question will be I guess the company’s guidance for the second half is quite positive. Is that based on industry or market history or seasonal pattern, this kind of projection? Or we have certain confidence level by already securing some orders from clients for the second half?
Bryan Kim: This is Bryan Kim. Actually in the third quarter, we estimate our [inaudible] for TV by a low teens. Already we delivered our [inaudible] and IT also will increase the demand in low teens, due to seasonality such as back to school and preparing the X-mas season. So I suspect the [inaudible] are reducing their inventory level from halfway except their inventory as of end of June to the normal level -- that is monitor [points] and the multiple [inaudible] until August. And then maybe a surprise demand in terms of the panel we are expecting to be tight again from September, so [inaudible] supply and demand there will be softer until middle of the third quarter, but it will be tight again from the end of the third quarter until November.
Len Erick - Goldman Sachs: Okay, so if I understand what you mentioned correctly, that means we think the inventory will be digested in July and then from August, the customer will come back to rebuild the inventory for back to school --
Bryan Kim: Yes, that is exactly what we said.
Len Erick - Goldman Sachs: And then September will be a shortage month again. You [inaudible] into the Q4 -- am I right?
Bryan Kim: Yes, right.
Len Erick - Goldman Sachs: Okay. Thank you. My second question is actually the company has mentioned that from last year, the company keep emphasizing profitability and for many times, the company has been suggesting that the strategy will move from competing for market share to maintain profitability or increase profitability. Is this strategy still valued for the company? Given that we have an increased CapEx number, what if the CapEx number -- what if all those capacities dumping into the market that makes some over-supply situation and we may have to grow our business and expand [some profit], where that leads us to some consideration for like capacity fall back or utilization, or lower utilization. What is -- is there any change of strategy at this moment compared to the same period of time last year?
C. Thomas Hyun: I definitely can say that there is no change in strategy, which is profitability focused. However, one thing you need to remember is that this is a competitive world and we need to compete, and also we have customers that we need to deliver what customers are looking for, what they need. So we definitely need to maintain our market share, rather than going into this world with a market share war, getting into market share battle. We are trying to sustain our market share; at the same time, we are trying to focus our profitability while satisfying our customer needs, and that is exactly what we are doing. So as we explained earlier, our CapEx increase doesn’t mean that all of a sudden, there is the market share gain. I mean, it’s not that. So it is just the value strategy which is maintained.
Len Erick - Goldman Sachs: Okay. Thank you. My understanding is the company used to mention some criteria to judge if that’s the timing for some capacity cut-back, considering some market circumstance. So again, following on my last question, my question is if, or under what kind of situation will a company consider to pull back or trim our utilization in the near-term? I know that the company mentioned that we will keep the utilization at 100%, but what if there is any accident or any change of market situation? Will the company consider to make some changes or adjust the utilization in the near-term?
C. Thomas Hyun: Yes, I mean, definitely we will do that. I mean, definitely when the market situation is not good, which is converted into our inventory situation because when the market is not good means that we may have an inventory problem. If that’s the case, we’re not going to just build up, keep on building up the inventory. So the company will definitely look into the situation and by managing our inventory, that means that we need to manage our -- what we input.
Len Erick - Goldman Sachs: Okay. Thanks a lot. I think that’s all for me. Thank you.
C. Thomas Hyun: Okay, thanks. So we have time to take about one more question.
Operator: Currently there are no participants with questions. (Operator Instructions) The following question will be presented by Mr. [Acoah Harsh] from Lehman Brothers.
Acoah Harsh - Lehman Brothers: I’m with the credit side at Lehman Hong Kong. Just quickly, can you remind me what’s the CapEx guidance on a cash basis for next year for 2009?
Unidentified Participant:  In 2009, so we are now planning to set up our business plans, so it is not fixed yet, so it is very flexible at this moment, but we are expecting it will be around KRW1.5 trillion to KRW2 trillion range.
Acoah Harsh - Lehman Brothers: Okay, that’s fine. Thank you.
C. Thomas Hyun: All right. Thank you. On behalf of the LG Display, we thank you for your participation in our second quarter earnings conference call. If you have any further questions, please contact either myself or my colleagues. Thank you.